Operator: Good morning, and welcome to the Sonic Automotive Second Quarter 2023 Earnings Conference Call. This conference call is being recorded today, Thursday, July 27, 2023. Presentation materials, which accompany management's discussion on the conference call can be accessed at company's website at ir.sonicautomotive.com.  At this time, I would like to refer to the safe harbor statement under the Private Securities and Litigation Reform Act of 1995. During this conference call, management may discuss financial projections, information or expectations about the company's products or market or otherwise make statements about the future.  Such statements are forward-looking and subject to a number of risks and uncertainties that could cause actual results to differ materially from the statements made. These risks and uncertainties are detailed in the company's filings with the Securities and Exchange Commission. In addition, management may discuss certain non-GAAP financial measures as defined by the Securities and Exchange Commission.  Please refer to the non-GAAP reconciliation tables in the company's current report on Form 8-K filed with the Securities and Exchange Commission earlier today.  I would now like to introduce Mr. David Smith, Chief Executive Officer of Sonic Automotive. Mr. Smith, you may begin your conference. 
David Smith : Thank you very much, and good morning, everyone. And welcome, as she said, to the Sonic Automotive second quarter 2023 earnings call. Again, I'm David Smith, the company's Chairman and CEO. Joining me on the call today is Mr. Jeff Dyke, our President; our CFO, Mr. Heath Byrd; our EchoPark Chief Operating Officer, Mr. Tim Keen; our Chief Digital Retail Officer; Mr. Steve Wittman, and our Vice President of Investor Relations, Mr. Danny Wieland.  Earlier this morning, Sonic Automotive reported second quarter financial results, including record quarterly total revenues of $3.7 billion, a 4% increase from last year. Second quarter EPS was $0.65 per share, which includes the effect of $75 million in charges related to our previously announced plan to indefinitely suspend operations at eight EchoPark retail hubs and 14 delivery and buy centers as well as three Northwest Motorsport stores in the EchoPark segment. Offset partially by a $21 million gain on the disposal of three franchise dealerships. Excluding these items, adjusted EPS was $1.83 per share, a decrease from $2.45 in the prior year, due primarily to normalizing new vehicle margins and higher interest rates.  We are proud of our team's performance in the second quarter, and we remain focused on maximizing profitability in the near term while positioning Sonic to achieve our long-term strategic goal. We would like to thank our amazing teammates, manufacturer and lending partners and of course, our customers for their continued support.  Turning now to second quarter results. The industry continued to see improvement in new vehicle production and inventory levels which resulted in incremental new vehicle sales volume and lower new vehicle gross profit per unit sequentially as expected. This decline in new vehicle GPUs should continue as we progress through the second half of 2023 and into 2024, but we continue to believe that the new normal level of new vehicle GPU will remain structurally higher than it was pre-pandemic.  In the used vehicle business, wholesale auction prices for three-year-old vehicles decreased 6% in the second quarter, unwinding the surprise increase we saw in the first quarter. And this is important. July month-to-date, three-year-old wholesale prices are down nearly 4%, consistent with our expectations for continued price normalization in the third and fourth quarters, which will ultimately benefit consumer affordability and demand for used vehicles once retail pricing follows the wholesale trend in the same direction.  Lower lease turn-ins at our franchise dealerships continue to limit our used vehicle volume in the second quarter, but we were able to maintain higher used GPUs to somewhat offset the lower volume. We expect used vehicle prices to decline further in the remainder of the year.  Now to our franchise dealerships. Our franchise dealerships F&I gross profit per unit improved $156 sequentially from the first quarter to an all-time record $2,516 per unit, and we reiterate our previously issued guidance for full year 2023 franchise F&I per unit at or above $2,400 per unit.  Our parts and service or fixed operations business remains very strong with another quarter of all-time record fixed gross profit at our franchise dealerships up 9% year-over-year, driven by 11% growth in our customer pay business. We are proud of the success our team has had in this area, and we believe there are remaining opportunities to optimize our fixed ops business as we progress through 2023.  Turning to the EchoPark segment. In this morning's press release, as I mentioned, we provided additional details around the previously announced suspension of operations at certain EchoPark locations and the closure of three Northwest Motorsport locations. In total, we suspended operations at eight EchoPark retail hubs and 14 related EchoPark delivery and buy centers as well as three Northwest Motorsport stores.  In the second quarter, we suspended operations -- I'm sorry, the suspended operations represented 14% of our EchoPark segment unit sales volume, approximately $74 million in revenues and incurred a segment loss of $13.2 million. Going forward, we expect $2.5 million to $3 million in ongoing quarterly expenses associated with these non-operating locations.  Suspending operations at these stores was a very difficult but necessary decision given the current used vehicle market conditions and our near-term outlook. As we've continued to develop the EchoPark model, our team has learned how to adapt the business to the unique challenges we have faced over the past three years.  While we believe the delivery and buy centers remain a key opportunity for EchoPark growth down the road, the success of the delivery center model is dependent upon broader EchoPark brand awareness to drive organic e-commerce traffic to echopark.com and generate sufficient delivery center sales volume to meet our required returns.  In light of the inventory constraints we are facing in the current environment, we do not feel it is prudent to invest in this level of brand marketing at this time. However, as market conditions improve, we'll begin to roll out our EchoPark national branding strategy, which will enable us to selectively invest in delivery center growth to facilitate our goal of reaching 90% of the U.S. population and maturity.  We believe that the decision to suspend operations at these stores will substantially improve our near-term financial performance and allow us to reach our goal of breakeven EchoPark segment adjusted EBITDA by the first quarter of 2024, while maintaining the viability of our long-term strategic plan for EchoPark once used market conditions normalize.  Turning back to our second quarter EchoPark financial results, we reported record revenues of $601 million and gross profit of $27 million, down 44% due in part to the volatility in wholesale auction pricing I mentioned earlier. EchoPark segment retail unit sales volume for the quarter was approximately 17,100 units, up 4% year-over-year.  Second quarter EchoPark segment adjusted EBITDA was a loss of $31.8 million compared to an adjusted EBITDA loss of $36.9 million in the first quarter and $27.3 million in the year ago period. We expect to see continued improvement in adjusted EBITDA losses through the second half of 2023, both due to the reduced store footprint and through improved profitability at our remaining operating stores as we are better able to allocate inventory and management resources across the entire platform.  As for our Powersports segment, the second quarter kicked off the summer powersports selling season, and we expect peak seasonal profitability in the third quarter, highlighted by the Sturgis Motorcycle Rally next month. We are continuing to identify operational synergies with our growing powersports network, and we remain optimistic about the future growth opportunities in this adjacent retail sector.  Finally, turning now to our balance sheet. We ended the fourth quarter with $864 million in available liquidity, including $407 million in combined cash and floor plan deposits on hand. Additionally, I'm pleased to report today that our Board of Directors approved a quarterly cash dividend of $0.29 per share, payable on October 13, 2023, to all stockholders of record on September 15, 2023.  In closing, our team remains focused on near-term execution and adapting to changes in the automotive retail environment and macroeconomic backdrop, while making strategic decisions to maximize long-term returns. Furthermore, we believe any industry-driven margin headwinds we may face in the franchise business should be a tailwind to EchoPark segment revenue growth and profitability, minimizing the earnings downside to our consolidated Sonic results over time.  This concludes our opening remarks, and we look forward to answering any questions you may have. Thank you. 
Operator: [Operator Instructions] And we'll take our first question from Daniel Imbro from Stephens. 
Daniel Imbro : I want to start maybe on the EchoPark kind of restructuring side. I guess, Jeff or Heath, if we look at the portfolio today, how did you arrive at those eight locations? Are there more in maybe a second tier of challenging markets that could close? If the market stayed tougher for longer, and then just a clarifier on the numbers is the implication of your cost commentary that it's like $40-ish million of annual savings or $40 million of accretion towards EBITDA? 
Jeff Dyke : Yes, the $40 million is correct. And sure, the -- we did. We took -- we looked at the stores across the board, and this is Jeff, by the way. We looked at the stores across the board. And we took the stores that we might have more difficulty getting inventory to buying inventory in the market areas around those stores and really pared it down from the 50 level down to 25 that we feel, given the market conditions today that we can buy enough inventory to support the volume that these stores are capable of doing.  And we need to all remember that you go pre-COVID, these stores basically, this group of stores, I think it was 12 or 13 pre-COVID, was averaging about 500 to 550 units per rooftop per month. And today, we're just not able to buy enough inventory in the 1 to 5 segment to support as many stores as we have. So we pared down to the number of stores that we knew we could buy inventory for. If the market conditions change, we certainly have the ability and the leverage to pull to adjust store counts in either direction because we've got the stores hibernated, the market comes back faster than we think it's going to.  We can open stores back up. Certainly, if we see a jug in the inventory valuations that we saw in March, where prices went from basically what we were buying at 24,000 up to 29,000. If that happens again, then we can certainly make other adjustments and pull other levers to get us to our target of being EBITDA positive in the first quarter of '24. 
Heath Byrd : And this is Heath. I think just a couple of things to add. Your $40 million is correct from an annual basis. That is the savings that we have. But the bigger benefit is -- to Jeff's point is the fact that we can sell more units out of the 25 remaining locations than the 50 units because you can stock the shelves properly.  And so because of these moves and the limitations of getting inventory, we can now do a better job of inventory mix at those 25 resulting in more units at a higher gross of GPUs than we had with the 50, if that makes sense. 
Jeff Dyke : Yes. So on a go-forward basis, if you guys are looking at modeling this as we get to the first quarter and breakeven EBITDA, we're going to sell more cars out of the remaining 25 locations than we did out of the 50 locations in the first and second quarter.  And our margin improvement should be in and around $500 better in the third quarter versus -- in the fourth quarter versus what you saw in the second quarter. And it's simply because we can buy enough cars sell enough volume. We're seeing that happen in July. We're going to turn our inventory almost 2x in the month of July, which is fantastic.  And getting back to that big volume pre-COVID level that is what these stores were built on and what the model is built about. So we can definitely buy enough inventory right now to support the remaining stores as long as the market stays where it's at. Now the market we think is going to get -- is going to continue to get better, right? Meaning prices are going to continue to drop and inventories become more available as we move from now to the end of the year. 
Daniel Imbro : That's helpful to understand kind of your assumption. So pricing, just to make sure I understand, if pricing were to move higher in the wholesale side, that would get more challenging, and that would necessitate potentially further actions on the store front. 
Jeff Dyke : That's correct. Yes. We don't anticipate that, though. That's just not in the cards, the manufacturer producing more cars, new car inventory across the board from everybody's announcements is going up from a day supply perspective. No sales in the auction lanes are real high, north of 50% right now, which is a good sign that inventory is building and prices are going to come down.  So there's going to be more volume to buy the rental car companies pretty much now are out of the lanes from buying cars, and that's what really caused a big issue in March for us and for the industry. So all indicators are that we're headed certainly in the right direction. 
Daniel Imbro : Great. That's helpful. And then maybe last one for me. Heath, if we look at the franchise F&I per unit, it was much stronger. I think you made some changes over the last year, I think you brought on some new financing partners. Can you take parse out what the drivers were of the sequentially stronger F&I per unit on the franchise dealer side and maybe the sustainability of that level going forward? 
Jeff Dyke : Yes. I mean, look, we're not the number one in the peer group. I think AutoNation's out there, $2,800. We're a little over $2,500. And our warranty penetration is just getting better and better every month. And so we reiterated in David's announcement north of $2,400 a copy, and we're going to hit those numbers. We're doing it now and had an all-time record quarter. 
Heath Byrd : And this is Heath. If you look at our penetration to Jeff's point, our new finance penetration was up 250 basis points. Warranty penetration was up 200 basis points on new and used warranty penetration was up 50 basis points. 
Operator: And we'll take our next question from Rajat Gupta from JPMorgan. 
Rajat Gupta : I just wanted a bit of further clarification on EchoPark. You mentioned that you're going to be -- you're going to get better throughput around the remaining stores. So is the assumption that if we adjusted the $32 million loss in the second quarter or like -- or $20 million loss adjusting for the store count reduction. Is it going from the $20 million loss to the breakeven? Is that -- you mentioned the $500 of gross profit per unit, that would be better. Is the remaining coming from volume growth going forward? So is the assumption that sequentially volumes keep going up from here? Or I'm just trying to understand like with a little more granularity, how do we get to that breakeven? 
David Smith : Yes, this is David. It's interesting. Jeff touched on a second ago, and I'll let him touch on it. But it's interesting to note that our capacity to grow our volume, we -- in the past, we -- as you mentioned, we did 550 cars per store, whereas where we're sitting now is less than 300 units per store. So we easily have the capacity on our -- in our team and our structure to sell far more cars with this remaining group of stores and also deliver the world-class guest experience that EchoPark has been delivering really for the last nearly 10 years. 
Jeff Dyke : Yes. The breakeven, I think we gave you all last quarter was -- or the quarter before, it was around 9,000 cars. Given the changes that we've made, that breakeven number now for the segment is 7,200 cars. And we feel that between now and the end of the year, we're going to be in a position to make that happen.  Remember, a lot more throughput means we've got to hire more people, hire more technicians. Our average experience guide sales associate at EchoPark this month is going to be in the 27.5% to 28% range. Pre-COVID, we were doing well over 30%. So that's coming back. So the volume -- there's plenty of inventory to support the stores that we have left open. And we think we can continue to grow that. We will continue to grow that through the third and fourth quarter and hit our breakeven target for Q1 of 2024. 
Heath Byrd : Yes. And to sum it up, it's basically those three components. It's the reduction in expenses of the $10 million a quarter plus the increase in volume and the increase in GPU. 
Jeff Dyke : And we are seeing that occur in July. Yes. 
Rajat Gupta : Got it. Got it. That's helpful. And just on the inventory revaluation charge in the second quarter and the $10 million. Would that just mean that the front-end gross profit in EchoPark, this has a much more favorable base here into the third and fourth quarter? And does that kind of like drive our confidence in that $500 GPU increase sequentially as well. Just wanted to make sure like we're thinking about that correctly. 
Jeff Dyke : Yes, it's certainly a part of that. But more importantly, it's the 1 to 35-day old car that we're selling, we're turning our inventory so much faster buying cars cheaper. So our margin is significantly better on our fresh inventory. The $10 million really went against our aged inventory and a lot of the inventory that we bought in March that depreciated a lot faster than probably we've ever seen before in history.  And so that's where those dollars took care of some of that inventory. But the bigger news is the margin that we're making on our fresh inventory now, that's back to normal for us and actually better than normal for us, which is just fantastic. We're in the $550 to $600 range on fresh inventory, which is well above where we've been even pre-COVID. So that's the exciting news is we know margins improving on our fresh inventory. We're turning our inventory really fast, probably turning our inventory faster than we've ever turned it because we're going to be nearly 2x turned in July. And the faster you turn your inventory, the higher your margins are going to be. 
Rajat Gupta : Right, right. That makes sense. One last one on the franchise SG&A to gross. The prior guidance was, I believe, like mid-60s. I'm just curious if you're reiterating that and maybe like any updated thoughts on how you expect new and used car GPUs to trend in the second half? 
Heath Byrd : Yes. We reiterate that we believe that the franchise will be in that mid-60s from a SG&A as a percent of gross and that will equate to a tune of round 65 to 70 for the year. 
Jeff Dyke : And margins should be consistent from a used vehicle perspective from what you saw in the second quarter. In new car margins, mid-4,000 range, somewhere in that ballpark between now and the end of the year. 
Operator: [Operator Instructions] And next, we'll take a question from Bret Jordan from Jefferies. 
Patrick Buckley : This is Patrick Buckley on for Bret. Just digging a bit more into the used GPUs. How should we think about what the new normal is there moving forward? Given the rebound in the past couple of quarters, should we think about 1,400 as a new low or more volatility in the longer term there? 
Jeff Dyke : I think if the market keeps dropping like it's dropping, then we're going to be real comfortable in that 1,400 range. If the market keeps moving around a lot, margins are going to move around. And that's just keeping up with the depreciation.  But I don't think the markets are going to -- maybe another four or five weeks of drops, but it's got to flatten out here at some point because we've gone from $29,000 a car or $27,000 a car in the first part of June. Now we're buying cars below $25,000. That trend is just not going to continue at that steep level. So if that happens and things begin to flatten out, margin should sustain itself between now and the end of the year, entered around where we are today from a franchise perspective. 
David Smith : And this is David. I think it's important to touch on that our team has been very disciplined in selling through our inventory as that market dropped, right? And so it has put a little pressure on margin. But as it levels out, as Jeff was saying that margin should improve. 
Patrick Buckley : Got it. That's helpful. And then just moving over to the parts and service side. Could you talk a little bit more about where your capacity levels are at? I imagine labor continues to be a constraint there, but curious to hear that compares to your overall physical capacity and how much room left there is to grow? 
Jeff Dyke : Yes. Well, every stall, we need more technicians. We're actively building stalls in many of our locations today or we'd have further upside in terms of our year-over-year growth. This is a long runway. We've been really working on our market share as we last quarter from an OpCo perspective in growing our share across all our brands.  We've got BMW done now. We've got Honda done now. That will continue throughout the rest of the brands and growing share by specific opcode. And that's given us a great return. We've had just an amazing performance from fixed ops perspective, another record-breaking quarter, and we expect that to continue to grow. But we need more stalls and we need more techs. There's no question about that. 
Operator: [Operator Instructions] And we'll take our next question from John Murphy from Bank of America. 
John Murphy : I just wanted to follow up on the EchoPark restructuring from an operating standpoint and maybe from an accounting standpoint. So if we think about these 25 locations or maybe the 22 ex-auto motorsports stuff, should we really think about these as the lights kind of being turned off? And then if market conditions in 12-plus months improve that you might be able to turn these lights back on pretty quickly? 
Jeff Dyke : Yes, that's the exact idea. 
David Smith : I'd like to brag on our team here a little bit that our team does an amazing job of hiring and training and getting these stores open. I think that it's actually going to be an easier job as the market improves and because of the experience of our existing leaders at EchoPark to ramp up these stores and get them going again, again, as the market improves. 
Jeff Dyke : Yes. The lights are definitely out in the stores that we closed, but it doesn't mean they can't be turned right back on. And that would be the intention if the market improves like we think it's going to do. It's just not going to happen in this calendar year, right?  We've got a long way to go to get back down to the $21,000, $22,000 price level if we do, but certainly rapidly improving prices and rapidly improving availability is occurring right now. And we're seeing that in this month or so a lot more cars per rooftop because we can buy and fill the shelves at the remaining stores that we have. But if that more inventory becomes available at the right prices, then absolutely, we have the ability to pull those triggers and levers and open more stores and open them quickly, obviously, because they already exist. 
David Smith : And the key takeaway is that the stores that were closed only represented 14% of the volume. 
John Murphy : Yes. No, yes, that's pretty resounding, right, given it's the same number of stores that you're going to keep open, right? I mean, it clearly you chose the right stores or at least appears to chose the right stores. Just a follow-up on the accounting side on this. Why would you keep an ongoing expense for something that's put in discounts? Wouldn't that have been put into the charge? And then sort of the follow-on on the accounting side. When you talk about the inventory write-down is that write-down for vehicles that are then dispersed to the other locations and then sold at a higher gross so they help you out in the short run. I'm not trying to be wise. I'm just trying to understand the accounting and how this is all flowing. 
Danny Wieland : Yes, John, this is Danny. Two pieces to that. The ongoing expenses are the pieces that we couldn't accrue and recognizing that onetime charge, you've got ongoing maintenance, security utilities at those leased and owned properties going forward.  Other things like the rent and depreciation were contemplated in the $75 million of charges in the second quarter. When you think about the $10 million inventory adjustment, as we noted in the release, about $7.7 million of that's related to the operating stores. Again, as Jeff noted, just cleaning up some aging with the rate of depreciation that we saw in the second quarter. The remaining $2.3 million, you're exactly right, with the aged inventory as well as then just valuing that to what the retail market value is as we reassign that either to other EchoPark locations or at wholesale. 
John Murphy : Okay. But that -- but given that inventory write-down in operating stores another $2.3 million in the disc op stores, like that will help -- I mean that will flatter the margins in the short run as you're going through the next quarter. Is that correct? I just want to make sure I understand that. 
Jeff Dyke : Yes, this is Jeff. It's certainly going to help the aged inventory, and let's call it aged inventory, anything north of 45 days because you bought cards 45 days ago they're down a couple of thousand dollars a car already.  So yes, it will shorten there. But the more important thing is what's the margin on the cars that are 1 to 35 days old now that we're seeing in July. And of course, those dollars aren't going to that inventory. And what's happening in that inventory is our margins are significantly higher than the pre-COVID run rates that we had in margins where the stores were making all the money that they were making. So that's the great news.  The great news is the margins on the fresh inventory is back in back better than it was pre-COVID. So that's what we hope to see continue to happen between now and the end of the year and why we're so confident in positive EBITDA in the first quarter of '24. 
John Murphy : I'm sorry. And just one last one on this. Does this mean that you will not open any new stores until these stores come back on? Or could these stay in disc ops and you say, hey, listen, we just found a new market or newer markets that are just really attractive, and we can add a couple of stores here and there. So we could see EchoPark grow store count even with these kind of stores in disc ops for now? 
Jeff Dyke : Yes. I mean some of those stores and discounts could be there forever, right? And we might end up selling and find new markets that are bigger, better, we've got inventory resources there, you name it. It will be a combination of what you said. 
Operator: And our next question comes from David Whiston from Morningstar. 
David Whiston : I had a question on your franchise business. Just looking at the reported versus same-store on the used side, your used GPUs were actually up 14%, but on a same-store basis, they were down 3%. And so you seem to be bucking a pretty strong industry headwind here, which is great to see, but it looks like maybe you're favoring profit over volume on the used side on the franchise side, but also do you have some newly acquired stores not yet in the same-store base that we're just outperforming the industry and use to cause that difference? 
Jeff Dyke : There is some of that going on, but we are bucking the trend. We're being very conservative. I mean we sold 75 to 80 units per rooftop, and we typically run over 100, but you just can't buy the inventory. There's no off-lease cars coming, so we're really trading for cars and buying cars off the street.  And we did take a much more conservative approach than we normally have in terms of holding our GPU and selling a little less volume. We can sell more cars. There's no question, but the margins would really drop if we had to go buy more cars in the auction, and we see that at EchoPark with our lower margins.  So yes, that was strategic. And we'll continue to balance that through the rest of this year before we start opening any of our buyers to go back into the auction lanes to buy cars for the franchise stores. We're going to live off of vehicles that we buy off the street and our trade-ins, keep our trade ratios really high, which is running in the 55% to 60% range right now. And we'll live off that until we really get a handle on what's going to happen in this used car market. 
Heath Byrd : And one of the big differences is really just the brand mix of what we've heard last year and what we disclosed this year. So that's also some noise in those new numbers. 
David Smith : And this is David. We mentioned it earlier. I mean it was from all accounts, a historic drop in valuations of used cars in the market. So we think that strategically, it's really smart to keep that inventory tight. And as Jeff said, maybe miss a few retail deals until that market starts to flatten out more consistently and then we can crank up the volume. 
Jeff Dyke : Yes. We're seeing prices drop in the wholesale market for the mix that we buy. Two weeks ago, we were buying cars over $26,000. Last week, we bought cars under $25,000. And you have to adjust your retail pricing on your low to account for that. And so we're just being very, very careful. Turning our inventory a lot faster getting our cars through reconditioning quicker in executing our playbooks at a really high level, it's given us more growth. There's no question. And we're seeing that with the EchoPark on the franchise side. 
David Whiston : So just a curiosity, do you have any store GMs complaining to you guys, though, that they like to get more volume on the used side? 
Jeff Dyke : No, not at all. We buy our inventory. Yes, we buy our inventory and trade for inventory centrally. Our teams are executing their playbooks, and we don't have any of that. 
David Whiston : Okay. And just curious on the Tesla Model Y aggressive discounting, how badly is that hurting not on your premium brands, if at all, but also your volume brand stores. 
Jeff Dyke : It certainly played a role if you had a bunch of Teslas in stock in any other franchise stores or preowned, right, that hurt -- but overall, I mean, it's certainly playing a role against electric vehicles from a new car perspective, because they're having to get more aggressive in terms of their pricing. But the quality of the product that the manufacturers are producing now is simply amazing.  I don't care if it's Mercedes, BMW, Audi, you name it, Lexus, Toyota, they're just producing an amazing product. And it's a better product than Tesla. And as the pricing gets right, the inventory levels come up, you're going to see a higher mix of electric vehicle sales throughout the category. 
David Whiston : Do you think consumers are catching on, though, that is a better product than Tesla because [Penske] was complaining they’ve some in EQSs? 
Jeff Dyke : Yes. I think it's a little early yet to -- it's a little early yet to make that comment, right? It's -- let's see what happens as we move through the next six months. Shelves begin to get filled, and we put some electric motor vehicles in and let the customers get used to driving the electric vehicle, dealing with the range issues that kind of go with the consumers' concerns.  And so let's see what happens. I think we've got another six months to a year of sort of crossing some new boundaries with the electric vehicle. And if the manufacturer could get the pricing right and they keep their days supply in line, which are two big questions, that they really need to focus on, then I think they can do very, very well.  But if they're going to launch vehicles that are $112,000 when the counterpart combustion engine vehicle is $20,000 and $30,000 cheaper, they're going to have a problem. And they're very well aware of that. Some manufacturers are doing a job than others. But everybody is learning the electric vehicle business right now, and that includes the manufacturer, how to launch it, what product to put out there, how to compete against Tesla.  And we're nowhere near that limit. I think Mercedes, BMW in the 17,000 to 20,000 vehicles versus Tesla 600,000 maybe this year from a U.S. perspective. So there's a whole lot to learn and a long way to go before we can claim any victories from an electric vehicle perspective. 
David Smith : Yes. And I think it's worth noting, you mentioned the EQS and that we've got the #1 Mercedes dealership in the country out in California that's in the EQS model. It is regional where it's like that, that part of the country has been faster to adopt that car. And so that store has actually been buying EQSs from other parts of the country and shipping them out there. 
Operator: [Operator Instructions] And we'll take another question from Rajat Gupta from JPMorgan. 
Rajat Gupta : Just wanted to get your capital allocation, buyback, M&A. Obviously, big focus on conserving cash at EchoPark in the near term. But as you get more comfortable with the line of sight towards profitability and like lowered cash in a EchoPark. How should we think about use of excess cash and like just reluctant capital allocation? 
David Smith : Yes. This is David. And I know Heath has a comment about this. But we think that our focus on our balance sheet and making sure we have the strongest balance sheet possible. We deliberately -- there is a strategic decision to not buy back shares in the second quarter. And we'll see where we go opportunistically from here. As you see, we've got a fantastic balance sheet, a lot of cash.  And we'll look at strategically at various opportunities for acquisitions and share buybacks. And -- but we just thought that it is important to focus on. We've had quite a few acquisitions and a lot going on with EchoPark is to focus on those operationally, and we've got our powersports business and the RFJ dealerships and putting into our playbooks and making sure that we execute properly. And so there'll be plenty of opportunities in the future for our capital allocation. But Heath, did you have anything? 
Heath Byrd : Yes. Now I'll just reiterate, we believe that cash is king when you have uncertainty with economic conditions. So we want to have dry powder for that, number one. Number two, we also have a strategic initiative to bring our debt down.  And so we've reduced our debt about $60 million for the year. So that's a big, important part of our capital allocation plan. We're reinvesting in our IT infrastructure and innovation as well as our facilities. So that's a priority.  We don't have anything that is pressing the material from an M&A perspective in the near term. We want to be prepared and have capital available to start growing EchoPark again as we start seeing that market normalize. And then again, as always, we will return capital to shareholders, primarily through our dividends and opportunistically do share repurchase. 
Operator: [Operator Instructions] Okay. There appear to be no further questions at this time. I'd like to turn the floor back over to management for closing remarks. 
David Smith : Thank you all so much for attending the call, and we'll talk to you next quarter. Thank you. 
Jeff Dyke : Thank you. 
Heath Byrd : Thanks. 
Operator: Thank you. Ladies and gentlemen, this does conclude today's teleconference. We thank you for your participation. You may disconnect your lines at this time, and have a great day.